Alan Jackson: Good morning, ladies and gentlemen and welcome to Playtech's full-year 2014 results. I hope that those of you who've flown from the aptly named Angel Lane have caught your breath and perhaps had a cup of the delicious coffee here, or tea, whatever it might be. And indeed for those of you who are hungry, we'll be hosting an informal lunch in the reception area immediately after this meeting, which you're all very welcome. I'm Alan Jackson, Chairman, and joining me is Mor Weizer, who you all know and remember from our last interim results. I think he was pouring buckets of ice water over himself so he could cool down a bit. But he's promised that he'll stay dry now and with these hot results I'm not surprised. And he's got a tie on as well, so there's some fantastic results to go through. I'd just like to point to the highlights which really do -- I just missed out. The CFO next to him is again Ron, who you all know. But I'd just like to quickly go on to the highlights which reflect the tremendous performance and a further segment of the record growth of Playtech. Revenues up 24%, adjusted EBITDA 30%, adjusted net profit up 39% and adjusted EPS up 28% and it's another phenomenal performance year-after-year, a great team and great products, and the Company is in a very strong position with a significant balance sheet and growing revenues and profits. Our dividend policy remains to pay at 40% of net profits and the board has recommended €0.175 final dividend, giving a total ordinary dividend for the year of €0.264, up 14% and from this morning's statements also pleasing to note that the momentum has continued into 2015 and you'll hear further details from Mor in a few minutes. And I'll now actually hand over to Ron, to take you through the financial numbers. And please could I ask that we take questions and answers at the end and there'll be roving mikes and further conversation of course can continue over lunch time. Ron?
Ron Hoffman: Okay, good morning everyone and thank you Alan. Before I start, I would like to use the opportunity to thank Adam Kay, our head of IR, who is leading us to pursue new opportunities, I think I will use the opportunity to say that Adam did a wonderful job at Playtech and he truly became part of the Playtech's family. He has been a pleasure to work with and both myself, Mor, and the board and Alan, we will all miss you and we wish you the best of luck going forward. Moving back to our financial performance, we reported this morning yet another year of excellent financial performance for the Group. Before we start going through the numbers, let me first point out some of the key operational and financial drivers over the last year in the various areas across the business. These include the continued organic growth of the business, acceleration of growth through new business being focused on regulated revenue streams, the continued growth trajectory in mobile activity, significant growth in sports reflected in both web and mobile and bolstered by the World Cup during 2014, delivering on our strategy with more structured agreement, higher growth in regulated markets and further bolt on acquisitions. These factors together position us well for future growth. Now let's start reviewing the headline figures. Total revenue increased by 24% to an all time high of €457 million. Adjusted EBITDA, which increased by an impressive 30% and as presented during the interims also above the growth rate in the revenue line item was complimented by several factors which resulted in higher operational margin, including reduced revenue driven cost, tight control on administrative costs, the appreciation of sterling versus euros, acquisitions and other factors. It is important to note that for proper comparison of the financial performance, both adjusted EBITDA and adjusted profit in the comparable period are excluding the historical William Hill online share profits received for just over three months of 2013. Looking at the underlying results of the business, stripping out the contribution from acquisitions made in the last 24 months, including PokerStrategy, which was acquired in July '13, Cyclone the recent acquisition of Aristocrat Lotteries late in 2014 and additional smaller acquisitions. Total revenue from new and existing business increased by 21%, adjusted EBITDA increased 27% and adjusted profit increased by 30% after also excluding a one-off prior year adjustment on amortization of intangibles. Even when stripping out the favorable effect of currency exchange rates, revenue, adjusted EBITDA and adjusted profits were up 19%, 23% and 21% respectively, an impressive double digits growth of the underlying business across all key metrics. Let's analyze the growth in revenue. Our top line organic growth contributed approximately €74 million of revenue reflecting around 20% of growth over 2013 total revenue, in addition to a 4% contribution from acquisitions. When stripping out acquisitions, this organic activity enjoyed growth from existing licenses and product verticals of 13% with new business being new licenses or new product launched in the previous 18 months accelerating the growth with a conditional €27 million reflecting an additional impressive 8% in growth. But let's analyze this in a slightly different angle. When looking at the regulatory split of the overall growth between regulated and dotcom activities, it is highly noticeable that a nominal growth in regulated revenue is higher than that of dotcom, which means regulated markets grow faster a smaller base but still a significant gap between the two. This has also resulted in the mix of regulated proportion from overall revenue to grow by an additional 1% to 36%. If we further analyze those figures, it is quite visible that new business initiatives are very much focused on regulated revenue streams, in line with our strategy as we've indicated consistently in the past. It is also important to note that growth on existing activity in dotcom market is affected by the negative impact in Europe as markets continue to regulate and continuous growth in dotcom activity outside of Europe. Now looking at revenue breakdown across products verticals, our flagship casino vertical continues to grow strongly, up by 29% to €244 million driven by mobile, live, new business including Ladbrokes, Gala Coral and others and growth in Asia. We will take a deeper look at casino in the next slide. Services were up 20%, out of which approximately 12% contribution from acquisitions and the remainder coming from both new business and increasing live facility services as this area of the business continues to grow. These figures includes very little from the newly structured agreements produced late in 2014. Accordingly, we expect to see this growth trend continue, given the significance of these new structured contracts and the high reliance on services being a key constituent to the potential earnings of these initiatives. Sports revenue was €26 million, up by 54% driven by continued organic growth in this important vertical, benefiting from the World Cup during 2014 and the addition of our mobile sports offering to Ladbrokes, which reported significant pickup of that distribution channel. Mobile sports, which currently makes up 84% of the sports vertical increased by 51% while web sports grew 69%, enjoying also the addition of Ladbrokes in Spain and Belgium, the recently added Caliente offering and others. The growth trend for this products vertical on both web and mobile is projected to continue as further business wins continue and the importance of this vertical to the structured agreements recently signed. Bingo revenue fell 5%, impacted by changes to commercials with certain large licenses as they opt to take further product verticals together with reduced bingo marketing spend which was partially mitigated by an appreciation of the sterling against the euro. Mobile bingo, although still in its infancy continued to grow and accounted for 14% of total bingo revenue. Bingo side games, which are reported under the casino line item continue to grow and we see a trend of bingo side games taking a bigger proportion from total bingo activity as bingo becomes more and more an attractive acquisition channels for operators, also strengthened in light of the introduction of POC tax in the UK. Total bingo contribution, including bingo side games totaled approximately €29 million, 3% down on 2013. We see positive indicators that will support further growth as both bingo stakes and number of active players continue to grow and as bingo mobile and specifically tablets offering become more popular. Land based revenue, which included Videobet, IGS casino management and retail betting and games increased by 35% over 2013, out of which 22% came from the acquisitions of Cyclone, Aristocrat Lotteries only acquired late in 2013 and others. These acquisitions position this fully regulated vertical as the biggest VLT provider in the world and with significant potential for future growth as it penetrates further markets and brings greater diversity to overall group earnings. Excluding acquisitions, the increase of 13% was positively impacted by both growth in our IGS offering. New business added an additional 9% in the appreciation of sterling against the euro. The effect of tax changes in the UK land based activity is expected to be de minimis to this line item as the majority of revenue generated from this jurisdiction is based on a fixed fee per machine. When stripping out the effect of exchange rates underlying growth for land base revenue was 8%. Following the effect of acquisitions, specifically Aristocrat Lotteries, the concentration to the UK market has significantly dropped for this vertical from a level of 72% to 47%, further diversifying this segment of the business. Now looking more closely at casino, the majority of growth, approximately 21% out of 29% was produced in core casino which comprises slots, roulettes and table games on web as the result of growth in new business such as Ladbrokes, which also contributed to the mobile casino line item and continued growth in Asia. Mobile casino enjoyed a significant uplift of 84% and was the strongest growing segment in the year. Live continue to grow strongly due to new licensees such as Paddy Power and Ladbrokes, the launch of new private tables by certain licensees and continued growth in Asia. Mobile penetration across all product verticals continue to grow with total mobile revenue increased by strong 64% to slightly above $48 million, mobile casino presenting the biggest area of growth with an impressive 84% increase over the prior year, driven by the continued natural penetration of the mobile channel that accelerates as more and more gains or deploy. Mobile sports revenue increased 51%, mainly as a result of the addition of Ladbrokes, the World Cup and continued organic growth. Mobile bingo and poker remains small but still present a potential for future growth. Altogether, mobile revenue in 2014 represented 16% of total online software revenues, which excludes land based revenue, services and other revenue, compared to 12% in the prior year and continues to present a very significant growth opportunity. But let’s look at it more closely with a case study to understand what we can learn about the overall opportunity for Mobile as a whole. As indicated before, we see significant growth potential in mobile casino as it continues to grow and as it aligns itself to the adoption levels seen in the sports vertical. When looking at the casino activity in the UK market, for organic activity, approximately 30% is attributed to mobile and tablets. When looking at the organic growth in casino, web has shown a flat increase while mobile presented a 74% increase over the same basis in 2013. This means that while a certain level of cannibalization may occur, there is significant incremental growth coming from mobile. This is for the UK market where mobile penetration is far higher than in other jurisdiction. Now when looking at mobile adoption in other markets and taking into account the significant incremental growth seen in the UK market as Mobile grows, this presents a significant potential for growth on top of continued penetration in the UK market and we expect this to provide incremental growth. Turning to look at customer concentration, an additional four licensees are now generating in excess of $5 million in annualized revenue while almost a quarter of our licensees now generate more than $2 million a year, demonstrating the strength of our offering, quality of our customer base and increased diversity. The improvement in concentration among the top two and top five licensees was the result of certain of them refocusing on the withdrawal from certain unregulated markets and the transition to regulated markets, an effect which was positively mitigated by strong growth from other operators resulting in a significant reduction in the reliance on the top two licensee, reflecting further diversification of the business and therefore reduced the risk. This trend is expected to continue following long-term transition to regulated markets and as stated continues to deliver on its strategy including further licensees and structured agreements in regulated jurisdictions. As the top two licensees are now less concentrated, this will be the last time we presented as a separate line item going forward. Total adjusted operating expenses increased by 20%, of which 7% is due to acquisitions. Revenue driven cost which are mostly direct marketing cost related PTTS activities and fees paid to third party IP owners and branded content decreased as a portion of revenue partially due the acquisition of Euro Live which resulted in certain costs that were previously allocated revenue driven cost and on-charge to licensees being reallocated across fixed costs. In addition this line item was affected by the buy-out of reseller rights at the end of 2013, alongside growth in revenues which are not directly co-related to revenue driven costs. Employee related costs were up approximately 27% over the prior period, mostly as a result of acquisitions and the reallocation of costs from Euro Live. Excluding acquisitions this line item was €118 million, an increase of 16% on a like-for-like basis. Cost of services increased mostly due to additional dedicated teams which have grown due to demand from large licensees to have a number of people working on specialized developments giving rise to enhanced revenue generation for Playtech and timely development to our customers, which then benefits all Playtech licensees. The increasing administration and office costs were increased as a result of acquisitions and cost relating to new offices in the Ukraine and Israel. Travel, exhibition and marketing cost were reduced as a result of cost targeting initiatives implemented within the Group. Turning to EBITDA margin, which was up 119 basis points to 45.3% due to factors indicted earlier including reduced revenue driven costs, tight control on administrative costs mainly travel, exhibition marketing activities and other cost items. The appreciation of sterling versus euros, acquisitions and other factors. When looking forward, while operational margins we have a positive effect as further new business as introduced together with continued organic growth it will be mitigated by both the POC tax, the introduction of the while label offering in the UK market which reflects different operational margins as grossing up of the top line item is introduced and in addition the investment required in part in certain structured agreements over the initial periods. Moving to cash flow, as indicated many times in the past, Playtech continues to be a highly cash generative business. In 2014 the group generated approximately €221 million from operating activities reflecting continued high conversion between cash from operating activities and adjusted EBITDA at similar levels to historical performances. The group cash outflow from investing activities was approximately €129 million consisting of acquisition payment of approximately $43 million, of which $28 million related to the final payment for PTTS investment in equity accounted associates in the amount of $29 million, of which $12 million related to bingo, 30 million related to certain structured agreements and other small investments. Other investing activities include €22 million of capitalized development costs and $25 million of CapEx. Cash inflow from financing activity amounted to approximately $57 million following a $120 million distribution of special dividend earlier in 2014, $45 million as final dividend for 2013 in accordance with a 40% dividend payout policy, around $49 million in purchase of share for the establishment of an employee benefit trust, all set off against net proceeds from the issuance of a convertible bond in the amount of €291 million, this resulting in total cash held at the end of the year of $692 million providing a significant firepower for acquisitions and further investment in the business which will support future growth and value to shareholders. Moving to the dividends, implementing the groups’ dividend policy of 40% payout from adjusted net profit, the recommended final dividend is €0.175 per share giving a total 2014 dividend of €0.264 per share, up 13.8% compared to 2013 and up over 30% on a like for like basis, after excluding the portion attributed to the William Hill share profit from 2013. In summary, the group remains strong with a solid balance sheet, any material level of deferred consideration, high cash balances which were strengthened by the insurance of the convertible bond late in 2014 and with significant growth opportunities, thus providing the Board with confidence for future outlook of the business. Thank you. I’ll now hand over to Mor for his operational strategic review.
Mor Weizer: Thank you, Ron, and good morning everyone. Another great day. I love these meetings. They give me energy, passion, passion. I hope you feel it in the air. So another year, another financial record broken. Although the first half saw amazing financial growth across the business, so much more was going on, laying the foundations for the second half of the year and beyond. As you’ve heard earlier from Ron, Playtech again delivered a very strong financial performance, driven by casino, sport, land-based services and mobile. It was a great performance with strong organic strong across the Board and an impressive contribution from new business. In the second half of the year, we signed a number of new licensees and meaningfully extended our contracts with others. It is very pleasing to see that this momentum has continued into 2015. It was pleasing to see that regulated revenue go at a faster rate than unregulated and increase its share of revenue. Given the changes and transitions that are taking placing a number of regulated markets and the strength of unregulated markets in certain parts in particular, this is an amazing achievement for us. I will expand this discussion later on in the presentation. We are also really proud of having fully migrated Ladbrokes onto the Playtech platform and infrastructure and launching and rolling out the first truly omni-channel licensee, Gala Coral who continued to at an amazing rate. We also entered the rollout phase of our industry leading BIT tools as many of you saw at our Investor Day last November. In developing our BIT tools, we took a holistic approach designed to enhance the player experience and lengthen the player lifetime, therefore improving operator profitability and margins. In fact our approach can be summed up by the quote that you see in front of you. That simplicity is the ultimate sophistication, that while the players see simplicity and a similar positive experience, this is possible due to the highly sophisticated tools, processors and data management that happens behind the scenes. Part of this approach required us to change the way that we consider the ultimate player journey and how development is structured. Historically, we have taken a traditional silo approach with teams working to develop the product, their part of the jigsaw albeit in light of and guided by cross-team management. It then developed into a more integrated offering delivering the product through different interfaces as all other providers do nowadays. But as players become more discerning and operators became more refined in their offering, we realized that while the IMS is perfectly capable of growing in sophistication with the players that use it, that we have to take a more player centric, view focusing on every step of their journey as they interact with the Playtech offering. Our research showed us the desirable outcomes would include a better playing environment that delivers an improved player experience that such an experience would need to be agnostic to where, when and how the player is engaged, that from the player's perspective, their journey should be easy, simple and intuitive regardless of products, and finally that it should also translate into a better opportunity for licenses, including the time it takes to get them to market in the first instance. There have been so many new buzzwords entering the industry vocabulary. It is difficult to separate hype from jargon from innovation, phrases like multi-channel, omni-channel, seamless, conversions, integrated, the list goes on. It may be worth looking at the definition of omni-channel, the evolution of multi-channel and more concentrated on a seamless approach to the consumer experience for all available channels i.e. mobile, computers, land-based et cetera. To use all channels simultaneously companies use an omni-channel approach and track customers across all channels, not just one or two. Now, this sounds to me what we do with Gala Coral, rolled out, driving their business and of course generating revenue for Playtech. Not vapourware, not something we are working on, not in development, but deployed unique, leading the industry. For us omni-channel is a seamless player offering across retail, web and mobile, all three. Two channels simply isn’t good enough. Player must be able to access content wherever and however they wish to. So players must provide and operators must offer players this experience and the offer must be consistent. Players must feel that they are playing the same games released at the same time across all channels. In many respects, Playtech is ahead of a broader curve here. Even leading e-commerce platforms like Amazon and eBay don't provide a consistent user experience. Access through smartphone, tablet and computers, gives a different and not always familiar view and functionality. Our response is to provide fully adaptive technology that is device agnostic, where users are connected continuously regardless of devices used. The sales potential huge as Playtech is no longer being perceived as just an online supplier. Legacy land based technology, the bedrock of many operators is simply obsolete and no longer relevant. Our unique truly omni-channel sports offering opens up to Playtech more regulated markets than its strictly online offer and momentum is already building up in Europe, Latin America and Africa. It also establishes an ocean wide gap between Playtech and other suppliers. During 2014, Playtech extended its sports offering to include retail sports, also powered by the IMS. This acquisition gave Playtech the most comprehensive sports offering in the market with a proven track record and multinational customer base with a market leading offering across all current distribution channels. During 2014, we also acquired Cyclone, an amazing design studio with a great track record in retail and specific games developed for retail. Deployed in a number of international markets, including the UK and Italy and highly complementary to our existing offering. Actually a recent survey by a leading UK book maker showed Playtech as their number one game supplier from a revenue perspective in both online and retail. In fact splitting large games out of Playtech's overall offering would make us number one and number two. In September, Playtech acquired Aristocrat Lotteries, giving entry into two further regulated markets no way in Italy and making Playtech the world's largest supplier of server based VLT software. With ongoing trials in two further markets we are excited about the future prospects of this business. Casino was again the key driver of the company growth and remained the preeminent industry leading multi-channel offering used by most of the largest international operators with more in the pipeline. The reason for this, is that we have the best product with some of the best performing games titles, strong development with innovation at its heart, all supported by best of class IMS capabilities. The Playtech casino is now also our largest mobile segment, offering both in-house and third-party games, enabling operators to launch new titles across mobile and web channels simultaneously for the more efficient user marketing spend. While it is the largest mobile segment, it is still in its infancy when compared to the true potential of the mobile channel being the fastest growing distribution channel. We demonstrated during the year the Playtech’s live offering is the first choice for the most innovative operators that demand dedicated flexible facilities that are accessible across all channels and fully integrated with their broader casino offer. Given the growing popularity of live gaming, Playtech will release its new enchanted live gaming product later in the year, driven by leading operators working closely with Playtech. Sport continued its strong double digit performance through 2014 as you heard from Ron earlier. Playtech’s next generation omni-channel offering of modular proven and highly scalable offering is increasingly becoming the solution of choice for forward thinking operators looking for a fully integrated flexible suite of cutting-edge products to replace their old redundant legacy systems. The technology is now also supported by Playtech’s BIT, game changing segmentation and personalization tools. The Group’s focus remains on using the Sport channel as a way into existing newly regulating markets, creating significant opportunities ahead. As mentioned earlier, retail and online sport segment is regulated in more than 25 countries and remains an untapped market for the Company. Our entry points who will retail with Playtech One, combined with our market leading position and best of breed web and mobile elements positions the Company to enjoy future incremental income streams from all regulated markets. Even in the very smallest of market, this would generate €1.5 million to €2 million. Playtech continues to operate the largest Bingo network in the world, offering the widest selection of side games supporting all distribution channels. As you heard a few moments ago the UK Bingo market remains challenging as operators begin to view Bingo as a good value player acquisition tool and then cross-sell players to casino games within the bingo product. This is reflected in the increased proportion of total revenues from Bingo side games. Mobile penetration continues to improve bringing in additional incremental revenues. The health of the network was improved by the launch of a number of new licensees, as well as by the extension of a number of contracts with existing licensees. For this year we plan a number of new initiatives, including two major new Bingo variants, increased number of games from a variety sources, shifting to HTML5 to support many more devices but will also make us more agile and innovative and to restructure the value proposition to reflect new play models and the new tax regime here in the UK. Playtech continued to invest in its iPoker network, the world’s largest independent poker network, launching a range of advanced mobile products that performed well on roll out resulting in an increasing player acquisition for our operators. During the year we tried, launched and rolled out an innovative rate distribution model discussed earlier in the year and I’m pleased to report that the initial feedback has been very positive. Management continues to believe that this initiative will boost the health of the network and encourage operators to further invest into poker, improving player ecology and revenues for operators. While poker remains small, it is an important element of our overall offering, fully integrated across all devices and platforms and remains the entry point to many regulated markets. Late in 2014 we launched three new turnkey licensees in Mexico, Italy and in the UK. We are pleased with their initial performance, particularly with Caliente. All regulated markets and we have a strong pipeline of new deals in a number of other jurisdictions. Our demonstrably modular and flexible approach together with a broader set of tools and expertise complements our software offering which is especially beneficial in newly-regulating markets where retail betting and gaming operators, media companies and land based casinos want to enter the online gaming space. Our marketing services in particular delivers player acquisition in a series of techniques to boost retention to maximize revenues which can be highly beneficial for a new entrant to a market or for any operator wanting to accelerate its growth. Finally as you heard this morning from Richard, Ladbroke continues to make good progress and we remain confident that there is much more growth to come. For those of you that joined us in November or came to see us at ICE, you would have seen first-hand the capabilities of our innovative and unique business intelligence package, which continues to produce significant results for those licensees that take it. In summary BIT is an innovative set of unique tools that allows operators to make decisions based on real-time data, automating many processes that were historically manual or worse based on trial and error. The ultimate aim of these tools is to focus on player engagement to drive loyalty by offering each and each every player a unique set of features and games personalized for them. With enhancements to boost player acquisition rates, better prediction of player value from sign up, more accurate segmentation of the player base and better management of player relationships, lower player costs and increases in player value will transform the way that the most customers focused operators, the ones that really want to deliver the ultimate customer experience do and think about their business. And it is now proven to significantly increase revenue and we continue to launch the BIT tools for more licensees where we see a significant immediate upside as soon as we launch these tools. Additional and more advanced communication tools and better end of lifecycle player management reduces the attrition of active players, allowing operators to work more smartly and to direct their marketing efforts to the most relevant players for them. Playtech's BIT tools were consciously designed to widen our competitive advantages. While driving direct incremental revenues streams it is also an integral part of our omni-channel solution. We stood here this time last year and stated that we wanted to make greater headway into the causal and social markets and we would do so in a measured and considered way. The reason is that casual gaming is a fast growing $25 billion segment of the market in which we have a negligible presence, but it is also a segment where other people have been burned. We have therefore adopted a best-of-breed approach, using appropriate in-house assets and acquiring the relevant external talent when and where we need it, also utilizing and leveraging core development and distribution competencies that already exist within the business. We have adopted a well-defined three-pronged strategy that we articulated to the markets last week, but in short I know it’s a first time for, it consists of a team of talented and successful in-house developers, an open development platform and other technologies, and publishing and marketing capabilities to identify the best performing games at an early stage and publish and/or purchase them. This is a unique approach as most other companies have only one or two of the relevant parts which we believe will create significant value. The ability to develop and publish our games is an advantage, yet having our owned leading games development platform is even greater advantage as these games have access to the causal market through hundreds of thousands developers and will provide us with further investment opportunities as well as the ability to publish the games developed. This is fully complementary activity that increases diversity of the business and represents another potentially significant source of high quality incremental earnings. Earlier this morning you’ve heard from Ron about our mobile performance. So I thought I would focus on our approach to this increasingly important distribution channel in both exiting a new regulating markets, driven by technological advancements such as 4G as well as consumers increasing willingness to transact through their mobile devices. Mobile is an integral part of a broader more holistic approach of all products in all formats on all platforms across all channels. From our experience with mobile sport, it is clear that mobile can become the natural channel of choice for the consumer if the offer is strong enough. To maintain our leadership in the mobile space, we have assembled the largest and best team of mobile specific developers in the industry, more than 350, which is more than most other companies will have all together. We have the largest product portfolio, all fully integrated with our Playtech ONE offering, allowing for the simultaneous release of game across all channels. Operators powered by our mobile hub have some of the best mobile offers in the industry bringing together their sports book and gaming offers along with all other verticals. And of course we are device and operating system agnostic. With respect to regulation, we were pleased to have made significant progress during last year reflecting significant focus on our part over the past few years. Many opportunities are already signed and rolled out, that we will only start delivering revenues in 2015. And with Holland Casino, it means that we have already secured new growth for 2016 event and beyond. In addition there are a number of markets looking to regulate including Poland, Czech Republic, Hungary and others. While South Africa, Ireland, Switzerland and Russia are making progress in becoming regulated market themselves. As I mentioned earlier having a comprehensive sports offering opens up a number of markets that are regulated for sport, that we would have not previously been able to target. If we assume even a modest revenue from each and every market, it represents a significant opportunity, and given our strong pipeline we hope to be in a position to announce further new business shortly. Often ahead of regulation we approach the regulator or vice versa to consult with what the regulator is looking to achieve with the regulatory process, citing our broad experience with other regulators in other jurisdictions and most importantly our objective approach. While we're not in the habit of giving guidance, I'd like to share with you some of the factors that will drive growth this year and beyond. As I mentioned, there are a number of companies already signed that are not just reflected in revenue, some smaller and some bigger. There is also a strong pipeline of new customers and contract extensions across a number of verticals that we would hope to conclude in the coming months. Playtech ONE is attracting attention from both licenses and non-licenses unlike and we believe will become a more important product of our offering in time. And of course we believe that we will continue to see sport grow strongly for the foreseeable future. However, it is early in the year and while the POC is expected by commentators to bring consolidation of the UK market, we are also experiencing strong demand in verticals and markets where we currently have a limited presence or have no presence at all. That of course leave only M&A. Apologies if you were expecting more than an update from me but we are working hard to bring to you news. We continue to examine value enhancing opportunities and our overall outlook and the types and size of opportunities we see have not changed much. And we continue the process. We do believe that the timing is right for us and our focus remains on attractive M&A opportunities that we believe will create significant shareholder value. In the meantime we've recently announced the acquisition of Yoyo, a casual game development platform and continue to look at further bolt-on acquisitions. That ends our formal presentation for the morning and we would now be pleased to take your questions; firstly from the auditorium and then we will take any questions from the conference call line. As we are being broadcast this morning, could I please ask that you wait for one of the microphones that we have here? Thank you very much.
Q - Victoria Greer: Victoria Greer from JPMorgan. Three, please. Ladbrokes have told us this morning that they will move their desktop sports to Mobenga. Could you comment on the potential impact of that for you in next year? Secondly, on the year-to-date revenue-growth number, you've given us, 22%. Could you split out the FX benefit in there for us? And then the third one on M&A, and why did you raise the convertible bond last year if there wasn't an imminent M&A opportunity? Thanks.
Ron Hoffman: Okay, I'll start with the current trading question, it's a more straight forward one. Current trading is 22%. Approximately I would say 8% - 9% of that was contribution from the exchange rates, from the weakening basically of the euro compared to other currencies, which has obviously complemented our growth, still a significant growth altogether. On Ladbrokes, I would say this would the first customer that we deploy an innovative approach which basically takes the mobile user experience, the easy and very intuitive experience that the users are enjoying on the mobile format and replicating those on web, and I think it's a very innovative approach that we believe we'll be replicating that approach also with other customers. Even if you look at e-commerce businesses today, by the way just for the sake of argument, which we use a lot, you will see that in some cases the mobile format, the mobile frontend is easier and more intuitive than the actual full blown web offering that you see in some of these offerings, including eBay, including Amazon, including many, many other offerings out there and this brought us to believe that there is value in taking the same simplicity that you see on the mobile front, and to enjoy that on the web desktop format, as well and we believe it will bring value for the player experience all together, and we will enjoy that obviously on the back of us providing more of our Mobenga offering in other market. You actually could have seen some of that, the experience of that also you in part of Mor's presentation when you saw the desktop basically moving, which means that it's screenshot agnostic. No matter the size of the screen or whether you're on tablet, mobile on desktop, it's the same offering, only adjusted to the actual screen size, which we believe is a much better offering instead of having two different offerings on web and on mobile.
Mor Weizer: Maybe just to elaborate on that just quickly, it's not just the way it looks. It's also the way people can transact and will transact with the product. We have an adaptive approach, meaning that -- almost all the functionality that you have today on mobile devices are replicated to web. If you basically start placing bets you will immediately see that is a continuous session on another device. So if you start placing bets, you didn’t finish with that, you move to another device, you open that, you see the same thing that you left the mobile device with, when move across between the devices. This is the experience we believe is the future of the way we would interact all together, same functionality, similar look and feel, same experience, very simple, very intuitive, and we believe that this will -- given the importance and given the appeal of mobile, which is obviously reflected in the numbers of the mobile performance of book makers especially here in the UK and we start seeing that elsewhere outside of the UK we believe that people get used to the experience on mobile and those that chose web should have the same feeling because it’s so compelling for the players. Obviously there will be a contribution for that. I think that it’s too early to say but it will build overtime, definitely a very important approach. Other operators that we showed it to during ICE, before ICE and following that, it obviously does not go unnoticed and I think that it will become the standard for e-commerce all together going forward. Now in terms of acquisitions, we raised the bond -- as we said we are a very acquisitive company. We showed it in the past. We have proven track record with that. We are an acquisitive company in nature and nothing changed in that respect. We still examine opportunities. Some of them are important and strategic and therefore we wanted to ensure that we will be in a position that will allow us to negotiate from a position of power. The bond we believe was raised at the right time for the right price and we believe that we will translate that, given our war chest, into significant shareholder value. We do believe that at the end of the day it’s not a deal, it’s not about doing a deal. It’s doing the right deal that will make most sense and will create most value for our shareholders.
Ed Birkin : It’s Ed Birkin from Credit Suisse. Firstly on just slide where you're showing the revenue organic growth, in terms of existing and new business, if I was an existing operator with you in the UK and I was operating in a regulated market from an offshore environment and then moved onshore, would that class as existing or new business for the regulated.
Ron Hoffman: So we view that as following. If you are a dotcom operator working in the same market and you have a transition basically working in the same market, just moving from non-regulated to regulated, we would view that as existing business. There will be a transition obviously. There will probably be a small decrease in the numbers before they pick up again under the regulated regime but we view that as existing business. But if you are a dotcom operator or an international operator, and you are working seven markets and you decided to enter into another market which you haven’t operated before and you’re coming to Playtech to discuss entering into this market we will view that as new business altogether. So same customer going to a new market will be new business, same customer working in the same market, moving from one format to another would be existing business. 
Mor Weizer: What defines the regulations by the way is basically, whether it’s regulated or unregulated is the local licenses they obtain. So for example certain customers -- actually all of our customers including William Hill, Paddy Power, Betfair, Ladbrokes, they have a small portion, maybe not all of them but the vast majority of those -- definitely those that have offshore routes somewhere, sometime before have some sort of dotcom presence. What defines whether it is regulated or not regulated is whether they have a local license they operate under in each and every corresponding market. So operators operate. Bet365 that we extended with into Italy is now the Italian portion is attributed to the regulated income streams as they obtain the license and this is the same for any other customer.
Ed Birkin : Okay. So that’s an existing growth, that 365 going into Italy with a local license existing [indiscernible]. And secondly in terms of the new desktop you’re doing, plying devil's advocate isn’t the whole point of desktop. Is it’s more reason you had bothered to log on to a desktop as opposed to mobile or tablet is because you wanted the more complex system that allows to do something different. So if is the same as mobile, it takes away the point of having new desktop products, perhaps. 
Mor Weizer: I think that at the end of the day the world is changing and our view is that desktop, iPads -- tablets and smartphones are becoming the distribution channel. People are less interested -- they are less interested in the channel itself but the content they receive through the channel in their experience. I’ll give you my own personal experience. I went in place -- basically I buy on Amazon and I basically started buying some stuff, it went into my basket and I didn’t finish with my order and I kept as it is. It was kept in there. And then I moved and started transacting -- basically I wanted to complete it and I was in front of my computer. I could have said that I was preparing for the results. So I was in front of my computer. It was not that case but -- anyway I was sitting in front of my computer I opened it up and I wanted to complete it and suddenly I realized that some of the information that I was looking of on the tablet in that case was missing. It did not say that it was guaranteed by Amazon. It was not said whether it is fulfilled by Amazon or not. And I suddenly realized something is different. It’s not the experience I was looking for. So I pulled out -- next to my computer, I pulled out my iPad again and I completed my order, and I think that this is something I look for the content. I look for what I want to buy. I wanted the same experience seamless, intuitive, simple. You click the button, it goes in your basket -- into your basket, checkout, paying and I want the order to be the following day if I use Amazon Prime. So this is the experience I look for. And desktop is just another channel. I think by the by the way that some of the growth we see in tablets is because the experience is so much better. It’s simple, it’s intuitive, you use it with your hand, flipping the pages, moving between one content page to the other, placing bets and then completing the baskets. And this is the same experience and I think that at the end of the day this is why we believe that this is the future.
Ed Birkin : Okay thank you and then just finally back to Victoria's question on the convertible. Obviously if there's nothing perhaps imminent, you’re not comparing any returns against perhaps doing a share buyback or investing and spreading yourself. Perhaps you can give us some hurdle rates you're looking at, which makes you feel it’s better value to make acquisitions rather than returning cash to shareholders?
Ron Hoffman: I would say the following. We can’t comment any specific M&A transaction. We are looking to M&A transaction right. We’re not right now in a view or discussing different alternatives or how to return cash to shareholders. We believe we’ll deliver significant value through M&A activity and we believe it will happen, hopefully in the short term rather than longer but I can’t comment on the specific financial targets or specific hurdles that we are looking to achieve because these changes pretty significantly between different types of M&A targets that we’re looking at right now.
Nick Batra: It’s Nick Batra of Peel Hunt. A couple of questions, just sort of follow-up on the acquisition. I think in some industry articles recently, Mor it seems to be -- you’re talking about potentially going beyond the gaming and games. You see yourselves as technology business. I wonder if you could say whether that’s accurate or not. And if so what sort of area should we thinking all. I know in the past you’ve talked about binary options and there's a few FX platforms out there for sale at the movement as well? And secondly on sort of point of consumption test, can you just reiterate what your guidance was last year in terms of what you call the hit might be, what do you think the experience is being sort of virtually three months in to point of consumption tax and also sort of regulatory tax front, some of your licensees have pulled Germany, I just wondered what do you think the potential VAT impact might be on your revenues this year?
Mor Weizer: So I’ll start with the acquisitions. As we indicated before our strategy consists of two elements when it comes to acquisitions. It is strengthening our core competencies and capabilities and software or extending beyond to a new verticals, without a specific reference to gaming or nongaming. In order words when we started, we started with casino and on the back of certain acquisitions we gained access to other verticals. We bought a poker platform. We bought a bingo platform. We gained access to obviously and became the world's largest in both. We gained access to sport through an acquisition. We gained access to services through acquisitions. So definitely their strategy divides into two, either strengthening our position by acquisitions or extending beyond the current, reaching to new verticals. I think that people underestimate how different for example, just as an example how different in terms of products, the casual gaming and social gaming are when compared to real money gaming. It is a good example of how we reach beyond just few real money gaming to areas and verticals that are driven by the same fundamentals of business, being technology and core competence, including marketing and publishing capabilities. This remains the case. We indicated before that we would like to strengthen certain areas of the business, including thinking about investment opportunities in mobile, in sports, in VLT. In some areas we already delivered content, we already delivered through some bolt-on acquisitions, but there are some other big opportunities for us out there. And definitely reaching beyond our existing verticals to new verticals without limiting ourselves. I can't really continue refer to more than that at this point in time. Each and every opportunity regardless of size and value will have to be evaluated by management team followed up by evaluation of the Board. I can guarantee you that anything we do, we expect it to be a value enhancing deal that will create a lot of -- it will create significant shareholder value, without referring to specific areas currently.
Nick Batra: I'm just trying to work out how surprised we should be if we wake up tomorrow morning in FX platform for instance?
Mor Weizer: I think that I can’t comment on that obviously, but rest assured tomorrow morning it will not happen regardless. So I believe that I can’t comment on that more than this.
Ron Hoffman: Okay just answer the other two questions, we expected the theoretical hit on the POC tax, obviously the UK market continues to growth for us. So I guess the theoretical hit is growing over time as UK top line for us continues to grow. But I would say that based on the December run rate, we're talking along the lines of €1 million a month. So this is pretty much the level. You follow that by asking about what do we see following the introduction of the POC in the UK market. To be honest I think your view is as good as mine. We don't see a lot is happening right now maybe other than noticing that William Hill have come out publicly and said that they may reduce their marketing spend and naturally it's only because of the POC tax but they have indicated that. I think a lot of the operators right now are somewhat in hold status quo so to speak, waiting to see what the other one will probably do. It may be too early. Maybe it's because they haven't paid so much until now or it's just the beginning. I think it's yet to be seen. We do believe that the market eventually will consolidate toward the bigger operators rather than smaller ones. We don't see a dramatic change right now I would say that at this point but for us obviously this market continues to grow. We believe that on the back of us providing our technology to the bigger operators in the market and hardly have any exposure to the smaller ones, we will enjoy the fact that they will grow and grab more and more market share. This will not be an immediate effect. It will take time.
Mor Weizer: I think that it is important to indicate when one say nothing really happens and we don't identify that, it means that we still see accelerated growth for our existing UK customers. I think that given the scale position we should expect to see that going forward. The rates in December and January for the likes of Gala Coral and other, Betfair and various other companies and they performed very, very well and we believe that this trend will continue. I think it's partly reflected in the current trading numbers we put out this morning and we definitely expect unlike most book makers in the UK to generate more money in the UK into 2015 when compared to 2014. Being conservative I think that it’s a realistic view, partly because of the late launches of Sky Bet and the omni-channel and migrating Ladbrokes only towards in the second half of the year or towards the end or mid, actually towards the end of the second half of the year. With Mobenga for desktop and various other initiatives, I definitely seeing that Playtech is very well positioned. We will see I believe some consolidation. I do believe we will see changing and restructuring of the market. I will say that fortunately for Playtech if you look at that portfolio is blue chip companies that will likely be the consolidators rather than the ones that will be consolidated, creating more scale, generating more business for themselves, hence Playtech, given the strength of the product and then gaining market share from small - mid-sized operators.
Ron Hoffman: Yes, so obviously we don't have direct impact of the VAT. We are not operators ourselves. This is an impact which is on the operators. We've learned that a bit on what's happening in the market with respect to the view on the VATs, we've learned that some operators have decided to pay the VAT, some have decided to take a view that it's not in line with the European commission and some have decided to pull out some of their activity. We believe all together if we look at Germany together, it's not a big exposure for us altogether. I can't comment specifically on one country or the other on the level of revenue we generate there but it's not a big number, obviously a single digit, low single digit. And we believe that the impact of the view – actually none of the licenses came to us and said we are now paying VAT, we want to reduce the royalties first of all to implement the fact that we are paying VAT. We haven't been approached by anyone. Also for the guys that are now paying the VAT, we haven't been approached. Even if they will approach, it's de minims foreign numbers all together.
Vaughan Lewis : Vaughan Lewis from Morgan Stanley. Sorry to come back to the convertible bond, but it's quite confusing workout what's going here. The beginning of the last year you paid a special dividend and then at the end of the year you raised a convertible bond which is effectively equity. You talk in the statement today about the possibility of buying back shares again. Was there an imminent deal that fell over? Was that the reason for it? Are you not confident that you'll get support from shareholders for any deal bigger than the cash position? Are you worried about getting bank financing? What's the real reason for that very dilutive and quite expensive I think convertible bond. The second one Ron, you talked about the sort of headwinds for EBITDA margin into this year, and then only upside you've got the natural scale benefits I guess is that net of those flat margins? And then thirdly, a lot of us have just come from Ladbrokes where they were been talking about reducing their marketing percentage this year, which seems counterintuitive given that they've now got a good product. And obviously you'd be hoping that they increase that, so you've got more chance of growing and getting an earn out. Do you think they're making a mistake there? Is there anything you can do to change that and do you think is there any chance of getting your first earn out payment next year?
Mor Weizer: Okay. So I'll try to answer the following. First of all, we are very focused on M&A not on actually buying back our own shares at this point. We believe there are M&A opportunities that will provide significant shareholder value and this is what we are focused on right now. So not really on share buyback at this point. It maybe something that will be on the table at the Board level, if we're not in a position to deliver valuable and good acquisition for that will provide value to shareholders. If it's not going to be the case, we'll discuss other factors depending on the share price in the market, depending on lot of factors other than that. We don’t share the same view on whether the convertible bond is expensive or not. We believe we took that when it was -- when the market conditions were best to do that. I don’t think we could have achieved raising money at a lower effective interest rate, including the element of the dilution to shareholder which will be delivered based on a premium of 30% which will be delivered basically after we introduce a very significant acquisition, and all together we believe that the combination of delivering a proper M&A transaction with the comfortable bond will be dramatically valuable to shareholders. Therefore we do believe that we did the right thing at the right timing and you never know how the market conditions may change. Today the market conditions are such that the money is cheap. Tomorrow morning that may change due to macroeconomic factors. We see the weakening of the euro. A lot of things are happening on the economy as a whole and we need to make sure that we have the firepower to do acquisitions. And all the relevant targets that we have looked at and are still looking at are at the size where raising this level of bond was very relevant for us. Therefore we anyway saw ourselves doing that. Margin, I think to be honest it’s too early in the year to talk about how margins for 2015 will look like. There are two factors as I said. One, the organic growth as you mentioned, the fact that the business will continue to grow, new business which comes at a higher margin. With that being said we continue to invest in the business and with that being said there is also some other factors impacting that like POC and the fact that we have entered into the white label offering, which goes to the top line, so changing a little bit the model. I think it’s bit too early whether to indicate right now how the margins will look like I want to be responsible, and not give something will eventually not be the case but we’ll see that further on in the year. On the last point I think that’s a question for Ladbrokes altogether. We can’t comment on their strategy decisions on marketing. We are not Ladbrokes. I think it’s a question for them. Our view that this is really just the beginning of the introduction of the POC tax. It’s really early days. I don’t see dramatic changes at this point, but again we still believe that Ladbrokes will grow and that we have supplied them with the right technology and the right capabilities to grow that business. They have now the right people in place with the right selling capabilities and the right marketing capabilities that will enable them to grow on the back of their agreements with Playtech.
Simon Davies : Simon Davies from Cannacord. A couple of from me. Can you flesh out your comments on the contract pipeline? I think a year ago you said it was bigger than ever. Is it bigger still now? Are these contracts in regulated markets mainly and do they mainly incorporate sports book as well. And secondly, just return to the point about margin, obviously the white label contracts could have a material impact. Can you give us a feel further macro scale of revenues from those contracts in the current year.
Mor Weizer: I’ll answer the first. I thought about it when you asked. I don’t find a definition of bigger than bigger. Now it’s not bigger because next year I expect it be bigger. So reality is it is bigger than it used to be. I think that what we saw in the second half of the year is an acceleration of the pipeline in terms of number of discussions, number of countries. I really think that we crack the code with the omni-channel positioning ourselves as the natural choice in various regulated markets, 25 of those and we are active in each and every one of them. And this is, when I take up almost as one country or one continent altogether without breaking down into the different countries. As we have indicted, as of today there are more than 25 countries that already regulated retail and online sports, with more than 10 to come and I definitely believe that Playtech is very well positioned. Other suppliers are either online or retail. I think that our technology is superior and what we provide is superior. We can supplement that by offering services around that, as we did with Caliente which is an omni-channel solution, which created a lot of buzz around Playtech entering the Mexican market, generated more conversations with other people. As you probably know, some of our customers have presence in Mexico. This is exactly the process we go through. ICE was busier than ever and I know that we are to an extent a victim of our success because this side means that not every -- acquisition but also not every customer is being announced, and I’m happy to say that we signed up and launched in some cases a lot of different customers in different markets that together combined will contribute to our overall revenues and income streams. And therefore we are very, very passionate about what we see. The smallest of market generate entities today for Playtech €1.5 million. We are talking about a tiny market. In average it can be more than this, how significantly more I think that it’s too early to say that. As we move along, as we start launching them, as we establish our presence, we’ll be able to quantify that and then multiply that. But if you think about the growth prospects, you think that 25 countries with 10 more coming up soon, you think about the smallest and you think about the potential such as in Mexico with Caliente for example, it can build up into very significant numbers and this is why we’re so passionate about the future and about the growth that posted for the business.
Ron Hoffman: Just to complete this picture, I would just emphasize that a big part of that are structured agreements, meaning contract that will generate more revenues or more earnings to Playtech as a whole than just the simple I would say ongoing software arrangement that we have with some of our customers. So it’s a bigger, we take a bigger stake. We participate in a bigger with more activity as part of this partnership with the customers and therefore it becomes more and more significant for us and it’s all focused on regulated markets all of it. As I mentioned also in 2014 and you saw that in the numbers, that new business is all focused in regulated markets. This will be the case also for 2015 and onwards actually with Netherlands, with the Holland casino in 2016 and onwards. On your second question on margin, with respect to what is the scale, what is going to be the scale of the while label sort of business model, I think it’s still too early to say. For example Trinity Mirror has only just started. So I think it will be a bit presumptuous of me right now to come with any projection on the size of this model compared to other parts of the business. I think we’ll have to wait and see as the year moves onwards. As we move forward in the year we’ll see the size of that and we’ll get more sense on the size with all together.
Alan Jackson: Of course we just have one more question if we could and then I come to the adjoining room and continue the questioning over lunch.
Ivor Jones: Ivor Jones from Numis. Could you talk about the Playtech's revenue progression in Italy through the period of regulation? So as you’ve changed from licensees to having licensed and some people exiting just over the last couple of year into this year really going up or down? And then does the Company face any challenges or risks?
Mor Weizer: In general?
Ivor Jones: Obviously it’s quite a big presentation pack and the slide on regulation challenges risks, markets didn’t make it in. I just wondered if there is anything you would have added. You've been looking at risks to the business?
Mor Weizer: Okay I’ll answer on the first one, I think if we look at it, Italy started to regulate in 2009 with one product vertical. It grew over the year and actually very late in 2012 only regulated slot games as part of the casino regulations all together, and are now talking about changing the model of the taxes by the way. So another sort of macroeconomic change I would say. If we look at Italy today and compare it to back when it was dotcom, where everybody was basically targeting Italy, we also get away with no licensee. I would say that its approximately four to five times bigger all together for Playtech. So it’s obviously been very successful for us. This on the back of the few factors. One of them is some of the dotcom customers obviously taking a license and then working in slightly different ways than they did back it was a dotcom market. They can do TV campaigns. Its different marketing channels altogether. TV campaigns, the establishment search locally. They attract more customers, more players simply because it’s a regulated market. So players feel more comfortable playing in online gaming rather than before. They know that it's fully regulated monitored by the regulators. They can complain if there any issues. That’s one factor. Other factors are entrants of customers into this market, meaning companies like Sisal. Sisal was never an online gaming operator. It was never relevant for them before 2009. Suddenly regulations are there, it becomes an almost natural step for them to start establishing their online gaming arm which is completely complementary to their lottery business and they overnight they become a very big operator and a very big customer of Playtech and they grow over the years and they still have a lot of potential in our view. So Italy altogether is continuing to grow, also this year continues to grow for us. Risks?
Ron Hoffman: We only have revenue from domestic licensed operators in Italy. There is a transition phase right now which is aligned with a regulator in Italy of some dotcom revenues which are domains at this point.
Mor Weizer: Maybe just worth mentioning, remember Italy is a good example how we penetrated and grew our business. If in the past we have various operators, the likes of William Hill, Ladbrokes and others operating in the market, the big operators that we have, the more established -- given the size of the market and the opportunity for them and led them to think, believe and act on it and the all penetrated Italy. In other words we enjoyed the existing relationships with the customers that they have and we enjoyed the same or almost the same revenue streams. After that, the fact that we partnered with local partners Sisal, Snai, actually it’s a good trying to say we partnered with Lottomatica last year. So this is all in the public domain. You go to there, you see the Playtech games. I remind everyone they have -- Gtech, they have their own, but given the strength, they have done the right thing as an operator. Having both is the right thing. And therefore I think -- and it’s a very great, it’s great relationship. It works for everyone. But I think that the incremental revenues from local operators that would like to expand to online is an inherent part of our strategy and our penetration efforts into Italy. With regards to risk and challenges, it always a combination of technology, reliance on customers, geographies. I think that it's all well known, well understood by analysts. I think that from a technology point of view a couple of years ago we saw mobile as a challenge but we turned it into an opportunity. We increase the number of employees to 350, we brought Mobenga, we gained access to best of breed mobile technologies that exist in the market through partnerships in order to ensure that Playtech will continue to lead the way in terms of mobile. We are further doing that now, increasing the team to an extent -- we're not talking about a lot of people -- to ensure it supports this multi-channel approach, omni-channel approach, releasing games across all platforms, including desktop, mobile devices divided into tablets and smartphones. Regulatory concerns, we believe that there won't be too much change except for positive one. We see that the world is moving in a very clear direction. More markets are being opened up. I can't think of a single European country that is looking to ban. It was the case with Portugal before. It's not the case anymore. They are in the intent to regulate. Latina America is opening up, Africa is opening up, Asia is opening up. I think that the industry is heading in a very positive direction for the industry altogether and Playtech in particular and I remind everyone, we welcome regulations. This is the future for us as indicated and demonstrated this morning by the numbers.